Operator: Hello, and welcome to Newmont's Third Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Newmont's Group Head of Treasury and Investor Relations, Neil Backhouse. Please go ahead.
Neil Backhouse: Thank you, and hello, everyone. Thank you for joining Newmont's Third Quarter 2025 Results Conference Call. Joining me today are Tom Palmer, our Chief Executive Officer; Natascha Viljoen, our President and Chief Operating Officer; and Peter Wexler, our Chief Legal Officer and Interim Chief Financial Officer. Together with the rest of our executive leadership team, they will be available to answer your questions at the end of the call. Before we begin, please take a moment to review our cautionary statement shown here and refer to our SEC filings, which can be found on our website. With that, I'll turn the call over to Tom for opening remarks.
Tom Palmer: Thanks, Neil. To begin today's call, I'd like to take a moment to acknowledge the important leadership transition we shared a few weeks ago. Announcing my retirement at the end of this year and appointing Natascha as Newmont's next President and Chief Executive Officer. When I joined Newmont more than a decade ago, I could not have predicted the remarkable transformation our company would undertake. Over these years, we have not only grown as a business, but redefined what it means to be the world's leader in gold mining. We have successfully navigated some of the most significant transactions in mining history, fundamentally changing the landscape of our industry and what it means to be a gold company. Today, we stand as the benchmark for responsible gold mining with an operating portfolio that has meaningful copper production and a project pipeline that is the envy of our industry. During my time with Newmont, the mining industry has undergone profound change. Newmont has responded to these changes and actively shaped its destiny. Rather than simply riding the commodity cycle, we have built a long life, globally diversified portfolio, one that will sustainably deliver shared value to our host communities and governments, shareholders, employees and all of our stakeholders. It has been a privilege to serve as Chief Executive. And as I pass the baton, I am confident that Natascha, who has demonstrated exceptional leadership throughout her 30-year career in our industry, will seize the many opportunities that lie ahead for our business. And with that, I'll turn it over to Natascha to take you through our third quarter operational and financial performance.
Natascha Viljoen: Thank you, Tom, and thank you also for your leadership and support since I met you the first time 3 years ago and for your leadership of this great company over the past 10 years. Your contributions have helped shape the strong foundation we stand on today, and I look forward to leveraging that experience to further unlock the value that we all know this business can deliver. Before diving into the details about our operational and financial performance, I'd like to highlight a few notable milestones and record achievements from the quarter. First and foremost, in July, we safely recovered 3 teammates at our Red Chris project, a result of robust procedures and systems in place, the swift and trained actions from individuals involved and strong collaboration across the mining industry. As an organization, we are taking a hard and honest look at the findings from the investigation into the circumstances that led to the incident, and we are fully committed to applying and sharing those learnings across our business and the broader industry. Second, we've received nearly $640 million in net cash proceeds from equity and asset sales since the start of the third quarter, marking the successful completion of our asset divestment program and the further streamlining of our noncore equities portfolio. Third, from our portfolio of world-class gold and copper assets, we generated record 3 quarter cash flow of $1.6 billion, enabling us to reach an all-time annual record of $4.5 billion, with 1 quarter still remaining. And we made significant progress on the cost discipline and productivity work we announced at the beginning of the year, which has allowed us to meaningfully improve our 2025 guidance for several cost metrics, whilst maintaining our outlook for production and unit cost in a rising gold price environment, a notable success in today's market. We achieved this by establishing a smaller senior leadership team with a decentralized organizational structure that is designed to sharpen accountability and simplify how we work. This includes consolidating our structure to 2 business units, giving our 12 operating sites greater decision-making authority and enabling faster, more agile execution. In addition, we further strengthened our balance sheet and enhanced our financial flexibility, ending the quarter in a near 0 debt position after successfully retiring $2 billion of debt. And Moody's upgraded Newmont's issuer credit rating to A3 with a stable outlook, a clear reflection of our improved credit profile, strengthened balance sheet, excellent liquidity position and prudent financial management. We have also continued to share our success with our shareholders, returning $823 million since the last earnings call through a stable dividend and ongoing share repurchases. On top of this financial discipline and excellent performance from our operations, we will also declare commercial production by the end of today at our new exciting mine, Ahafo North, which expands our existing group footprint in Ghana and adds profitable gold production over an initial 13 years of mine life. With this strong momentum from our operations and projects, we are well positioned to continue creating long-term value for years to come. Building on our cost and productivity work and solid foundation from the first half of the year, our third quarter operational performance reflects our continuous focus on safety and optimization. Our third quarter production was largely in line with the second quarter, primarily driven by a step-up in production due to higher grades of Brucejack, improved productivity at Cerro Negro and continued success from our patented injection leaching technologies at Yanacocha. As previously signaled, Peñasquito delivered a lower proportion of gold and steady lead, silver and zinc production in the third quarter, consistent with the planned sequence at this polymetallic mine. And at Ahafo South, we completed mining at the Subika open pit during the third quarter as planned, shifting mining activities to lower grades from the Awonsu open pit. And finally, at Lihir, we completed the construction of the engineered wall of the Phase 14a layback, preparing the site to efficiently reach higher grades in the future years. Consistent with our stable production in the third quarter, our unit costs remained largely in line with the second quarter. Our continued focus on cost discipline and productivity has enabled us to offset higher cost from profit-sharing agreements, production taxes and royalties resulting from the stronger gold price environment. In addition, we continue to progress the projects we have in execution and reached several significant milestones during this third quarter. As I mentioned, we poured first gold on September 19 and will be declaring commercial production at our new mine, Ahafo North, by the end of today. At our second expansion at Tanami, we have fully completed the concrete lining of the 1.5 kilometer deep production shaft and are equipping the shaft and completing construction of the underground crushing and associated materials handling system. At Cadia, tailing from PC2-3 has continued according to plan as we advance the underground development for PC1-2, along with a critical tailings remediation and storage capacity work, which I will touch in a little bit more detail in a moment. Moving on Newmont's operational strength in the third quarter, we delivered another solid financial performance. Newmont generated $3.3 billion in adjusted EBITDA and adjusted net income of $1.71 per share for the third quarter, a 20% increase from the second quarter and more than double last year's results. Also during the third quarter, Newmont generated $2.3 billion of cash flow from operations and $1.6 billion of free cash flow after working capital, marking a record third quarter performance. This achievement represents the fourth consecutive quarter with free cash flow exceeding $1 billion, underscoring Newmont's scale and leverage to favorable gold prices. So far this year, we have generated $4.5 billion of free cash flow, an all-time annual record already, with 1 quarter still remaining. And since the last earnings call, we have received $640 million in after-tax cash proceeds from successful asset divestitures and further equity sales, bringing our total 2025 proceeds to over $3.5 billion in cash to support Newmont's disciplined capital allocation priorities. These priorities remain unchanged and include maintaining a strong balance sheet, steadily funding cash generative capital projects and continue to return capital to shareholders. Looking ahead to the remainder of the year, strong execution across all our managed operations during 2025 has positioned us to achieve our full year production guidance. In the fourth quarter, mining at Yanacocha is expected to conclude, and we will continue to evaluate the opportunities in the surrounding regions of Peru. Additionally, we are looking forward to adding new low-cost ounces during the fourth quarter from our new mine, Ahafo North, and we are anticipating higher ounces from Nevada Gold Mines in the fourth quarter, as indicated by our joint venture partners. From a cost perspective, we are already seeing that our savings initiatives are bearing fruit this year, and we have reduced our absolute cost guidance in 2025 for G&A, Exploration and Advanced Projects by approximately 15%. This improvement in G&A expense is the direct result of our deliberate efforts to simplify the organization and drive down labor and contractor costs. And on the back of progressing labor reductions, our Exploration and Advanced Project guidance is also reflecting the optimization work we are doing to ensure we are managing cost efficiently, including how we deploy resources and equipment, sequence studies and focus exploration on areas that will generate the highest value. Turning now to unit cost. It is important to note that our 2025 guidance was established using a $2,500 per ounce gold price assumption at the start of the year. With sustained high gold prices, our fourth quarter all-in sustaining cost outlook includes increased cost from profit sharing, royalties and production taxes. However, through ongoing optimization and cost improvements, combined with supportive macroeconomic tailwinds, we expect to largely offset these impacts, enabling us to maintain our guidance for cost applicable to sales and all-in sustaining cost per ounce. Finally, now shifting to capital spend. Sustaining capital spend in the current year is tracking below our guidance published in February 2025, primarily due to the timing of spend related to our investments in the tailings work at Cadia. The team has done outstanding work this year, thoroughly assessing every option to ensure we're deploying capital in the most efficient way. Our focus continues to be maximizing capacity in the current in-pit storage facility, repairing the southern wall of the Northern facility and then rising the wall of the Southern facility. With this plan in place, we are ramping up our spend, ensuring that we achieve the right balance between responsible capital management and the tailings capacity needed to support this very long life mine. Similarly, development capital spend is also tracking below our initial guidance, primarily to a deliberate shift in the timing of spend related to the study and underground development work to support the potential expansion project at Red Chris. Taking everything into account and looking ahead to 2026, gold production from our managed operations is expected to be within the same guidance range we provided in 2025, but towards the lower end due to the planned mine sequence at our world-class operations. As previously indicated, lower ounces from Ahafo South next year will be largely replaced by new low-cost ounces from Ahafo North mine. In addition, the decrease in expected production next year will be driven by a lower proportion of gold production from Peñasquito as we transition into the next scheduled phase of mining at the Peñasco pit, while slightly increase our output of silver, lead and zinc. Lower leach production at Yanacocha as we conclude the mining activities at the Quecher Main pit and lower gold and copper production from Cadia as PC1 and PC2 come to an end and we transition to the next panel cave, PC2-3. In addition, following the anticipated $200 million improvement to capital guidance in 2025, we expect capital spending to be elevated in 2026 as a result, keeping our 2-year average largely in line with expectations. Lastly, building on cost and productivity improvements achieved in 2025, we expect to realize the full benefits of our cost saving initiatives, which will be reflected in our 2026 guidance to be provided in February next year. However, if elevated gold prices persist into next year, increased profit sharing, royalties and production taxes could offset a significant portion of the benefits we expect to realize from our cost savings initiatives in 2026. These ongoing efforts demonstrate our disciplined approach to cost control and our continued commitment to driving margin expansion, with more work underway to capture additional efficiencies even in a rising price environment. With our guidance reflecting continued operational and financial discipline, I'll next turn to capital allocation, where our focus remains on striking the right balance between financial flexibility, reinvestment in the business and returning capital to shareholders. We remain committed to our shareholder-focused capital allocation strategies, which are 3 key priorities and remained unchanged. Beginning with our strong and flexible balance sheet, we ended the quarter with $5.6 billion in cash, and we reduced gross debt to $5.4 billion, ending the quarter in a near 0 net debt position and reinforcing our financial resilience in today's unpredictable environment. Secondly, we continue to steadily reinvest in our business, in line with our long-term planning cycle and external guidance, with a goal of generating sustainable free cash flow. And finally, we continue to return capital to shareholders. We declared a fixed common quarter dividend of $0.25 per share. And we repurchased $550 million of shares since our last earnings call in late July. This year, we executed $2.1 billion in share repurchases, bringing the total to $3.3 billion in share repurchases since February of last year, with approximately $2.7 billion remaining in our $6 billion program. We will continue to be disciplined and balanced in our capital allocation priorities. Despite the record level gold price environment, ensuring that Newmont is well positioned to drive consistent long-term shareholder value. With another strong quarter behind us, we remain well positioned to continue delivering on our commitments to our shareholders. Driven by the consistent operational performance we have seen so far this year, we are firmly on track to achieve the improved 2025 guidance that I outlined earlier. And from this stable and efficient operational performance, we have generated $4.5 billion in free cash flow so far this year, achieving a full year record in just the first 3 quarters. From this position of strength, we have focused our time and attention towards optimizing our assets, taking deliberate actions to improve our cost structure and unlock the full value of our world-class portfolio. Alongside our operational strength and financial discipline, we will declare commercial production at our Ahafo North project at the end of today, setting us up to deliver new low-cost ounces for many years to come. In addition, we have successfully completed our asset divestment program and the further streamlining of our noncore equity portfolio, generating greater than $3.5 billion in after-tax cash proceeds from asset divestitures in 2025 to support Newmont's disciplined capital allocation priorities. Over the last 2 years, we have repaid $3.9 billion of debt and have returned over $5.7 billion to shareholders through our common dividend and share repurchases, delivering approximately $250 million in annual savings from these actions alone. Even amid unprecedented gold prices, our commitment remains to disciplined, balanced capital allocation, cost management and productivity improvement, driving long-term shareholder value and financial resilience. As we look to the future, Newmont is well positioned to continue generating industry-leading free cash flow, strengthening our business and rewarding shareholders through a predictable dividend and ongoing share repurchases. Lastly and most importantly, I would like to sincerely thank Tom for his leadership and contributions that helped to put Newmont on such a strong footing. And with that, I'll turn it back over to you, Tom, one last time for closing remarks.
Tom Palmer: Thanks, Natascha. As only the 10th CEO in Newmont's 104-year history, it has been a privilege to serve this great company. I'd like to thank our Board for its guidance and partnership throughout my time in the role, our executive leadership team and all of our teams across the world for their support in shaping our business into the industry leader that it is today. And with that, I'll hand the line back to the operator to open the call up for questions.
Operator: [Operator Instructions] The first question comes from Daniel Major with UBS.
Daniel Major: Congratulations, Natascha. And Tom, good luck in the future. So yes, a couple of questions. The first one, just on capital allocation and the balance sheet. You've been returning cash to shareholders at a healthy rate, but the balance sheet is effectively net debt 0, well below your net debt target. How do you see that going into 2026 if gold prices stay at this sort of level, would you look to build cash? Or would you look to accelerate the rate of buybacks and cash returns to get closer to your net debt target?
Natascha Viljoen: Thank you for that question, Daniel. As we've said in our prepared remarks, we remain firstly committed to, I think, a very well-defined capital allocation framework. Within that framework, we've made some good progress, and we will continue to review our returns to shareholders within the flexibility that we have in the capital allocation framework, and we will remain disciplined towards that. And of course, just to add, we do review that on a quarterly basis with our Board.
Daniel Major: Okay. So if prices stay here, would it be fair to assume you would accelerate the rate of cash returns rather than move into larger net cash -- or move into a net cash position, is that fair?
Natascha Viljoen: Daniel, I would rather steer towards we'll remain disciplined within that framework. And we will continue to review that as we have greater certainty of what the gold price do in the future. What's in our control, certainly, is to continue to focus on our operational performance, our safety, cost and productivity work.
Daniel Major: Okay. And then the second question is just on the project pipeline, previously indicated that Red Chris block cave would be the next project that would potentially be approved. Has there been any delays to that potential timeline with the incident last quarter? And is there any other updates on the other kind of longer-dated projects, Yanacocha, Wafi-Golpu, et cetera?
Natascha Viljoen: Daniel, firstly, on Red Chris, we remain on track to deliver a proposal to the Board towards the middle of next year. And we have, as we said earlier, done quite a bit of work to do a thorough investigation on the incident that we had. And we are building all of those learnings into the work that we're doing through the feasibility study. We are -- the progress remain on track. In terms of longer-dated projects, those are part of our projects in our -- that's part of our studies pipeline. And all of them will have to earn their right in the portfolio and for us to allocate capital to any future decision.
Operator: The next question comes from Matthew Murphy with BMO.
Matthew Murphy: Congratulations, Tom, on retirement and Natascha on the appointment. When you described giving the sites more autonomy and just some of the restructuring, I'm interested, what that means for your team? Are there key appointments that you're still looking to make? Or do you feel like you have the team to carry out that strategy already?
Natascha Viljoen: Matthew, as you know, in our executive leadership team, we do have a vacancy in-house for our CFO, who is -- and currently, we have our team very capably led by Peter Wexler and a very capable team supporting him in that finance -- in the finance function. So that would be a key appointment that we are focusing on. We have a deep bench across our operational teams that we are leveraging from. We've redefined or reshaped our business into 2 business units, who will be -- that will be led by 2 very strong managing directors, each having authority over 6 of our assets. We also have a very strong group head in our projects and studies and another group head looking off to health, safety, security and environment. So all 4 of them absolutely focused on operations and projects at the core, making sure that we can deliver on our objectives in a sustainable and safe manner. And then, of course, we continue within the framework of the restructuring, we have a very strong functional team across all of our important functions that will continue to support the work that we've defined in this restructuring. So very comfortable that we have a very capable team across our operations, projects and functions.
Matthew Murphy: Okay. Great. And then just any color you can share on the ramp-up of Ahafo North? How -- you've got it into commercial production. Has that gone as planned? And how is the ramp looking in Q4?
Natascha Viljoen: Yes. So we will be -- we will officially declare and it's absolutely a matter of timing. By the end of today, we'll be able to declare commercial production. What that means is that we have, on average run for 30 days at more than 65% of the design, which gives you about 300 tonnes per hour. And that ramp-up is going -- is running on schedule. So we're very, very excited about this new mine. I think Tom and I, will be heading out there next week. I think particularly, that's a big legacy for Tom as well for us to get this operation up and running. And -- but we will be celebrating with the team that brought this asset online next week to officially open it. But we're really excited about having this new mine as part of our portfolio.
Operator: [Operator Instructions] The next question comes from Josh Wolfson with RBC.
Joshua Wolfson: I recognize it might be a bit early to ask, but is there any sort of perspective you can provide on reserve pricing, gold assumptions for next year? And then also in that context, whether we should expect a growth in the reserves?
Natascha Viljoen: Josh, you're right. It is a little bit early. As you would expect, we're right in the middle of our budgeting cycle, right, also busy with our resource and reserve review. And we will definitely give you an outcome of that work in February next year.
Joshua Wolfson: Okay. Got it. And then just back to some of the comments on 2026 guidance. And I guess, there's sort of 2 parts here. One is, I think you had mentioned earlier the average CapEx over '25 and '26 would remain unchanged. If the CapEx declined in '25 by $200 million, should we assume the number next year is the same as '25, so -- or $3.2 billion and then add $200 million to it? And then the other question is just on AISC. I recognize there's a bunch of moving parts here. Directionally, there wasn't any indication provided there. But is the suggestion in the text that the AISC cost should remain stable? Or is one of the optimization and synergies outweighing the other of higher gold prices?
Natascha Viljoen: Josh, yes, firstly, starting off with capital. I think you're accurate. And if you consider that over the 2 years, '25 and '26, that we will remain within the guidance that we've given. 2026 will be higher. So you can assume that, that will flow through into 2026. If we look then at all-in sustaining cost, the 2 elements that will impact our all-in sustaining cost, firstly, would be the guidance that we've given or the indication of that we've given for the guidance next year of where our ounce profile will be for our managed operations. I want to just add that. And the impact would be predominantly from Ahafo South, where we -- our Subika open pit operation has stopped, and we've moved into a Awonsu pit with lower grades. But our Ahafo North would largely offset that. The reductions then further will be Yanacocha from the Quecher Main pit, that where we stop mining, and we will only be focusing on leaching activities. Peñasquito, we see a move into GEOs and our goal just due to where we are from the mining profile and Cadia as we wait for PC2-3 to ramp up. So the combination of what we think would be on the lower end of our guidance for ounces and moving of sustaining capital into 2026. Saying that, however, despite the good progress that we've made on our cost and productivity work and we start to see that benefits flowing through, that work will continue with a focus on cost and productivity. So to help offset any increases due to higher gold prices or what we've seen in the higher capital or lower ounces next year.
Operator: The following comes from Lawson Winder with Bank of America.
Lawson Winder: And Tom, congratulations on concluding your very notable career at Newmont. And then Natascha, I just want to say congratulations on your appointment as CEO. I do look forward to following this next chapter in Newmont's history. If I could, I'd like to ask about capital allocation again, but just from a slightly different point of view. Obviously, there's a lot of extra capital for which Newmont can consider allocating in a variety of different ways. It sounds like capital return is a priority. The balance sheet is already very strong. How do you think about acting on asset or company acquisition opportunities? Is that something that's still within the wheelhouse of potential capital allocation? When you think about growth and investing in growth assets, is that on the docket?
Natascha Viljoen: Lawson, thank you for that question. Firstly, we believe that with the -- with this wealth of the portfolio that we have, that the best investment for us is in our own assets and in share buybacks. So definitely, we will remain disciplined around that. And just as a reminder, those 3 elements, you've touched on it. The one is certainly strengthening our balance sheet and our resilience. We've made some good progress there, the investments that I've just touched on. And the progress that we are making on bringing Tanami 2 and the 2 block caves at Cadia still online, disciplined in making sure that we spend our money well in those projects and bringing them online in time. And then lastly, we still have our ongoing share buyback program and our fixed dividend policy. So we will remain committed, and that investment will only be made where we know that it's value accretive.
Lawson Winder: Okay. Fantastic. And in that same vein, I mean, there will be an opportunity to consider a significant investment into Nevada Gold Mines from the point of view of Fourmile, which is now 100% controlled by Barrick. I mean, there's also a demonstrated significant upside at Goldrush as a result of the work that's been done at Fourmile. I mean, how do you think about those 2 investment options? Is one preferred over the other? And when you look at Fourmile potentially coming into the portfolio several years down the road, do you think of it as another project to which to allocate capital? Or is that a separate decision from the project allocation?
Natascha Viljoen: Thank you, Lawson. Firstly, on Goldrush, is already part of Nevada Gold Mines. So already included in that portfolio, and the capital required is included in the capital forecast as we have it from Barrick today. From a Fourmile point of view, and if you look at that Nevada Gold Mine district, we know that it's a district that is -- still has a wealth of resources and a long future in terms of mining. And as Barrick has concluded their pre-feasibility last year and from the results that we have seen, which is the same results that you have seen and just from what we know from that district, we're very excited about the opportunity that we have that's included in the current agreement for us to have an option to continue our share of that project as well. So we are waiting for Barrick to give us more information so that we can make an informed decision. And as you would have indicated a little bit earlier, it will be a project that will compete for capital against all of our other projects, and we will be disciplined in also making this capital decision when we have the information available as our JV agreement.
Operator: The next question comes from Anita Soni with CIBC.
Anita Soni: And congratulations, Tom, on your retirement and Natascha, on your appointment as CEO. . Just a further question, a couple of detailed questions, I guess, on Yanacocha, I think the tapers in -- you said it's closing in the fourth quarter. They had a really, really strong quarter this quarter. Is that expected to continue into the fourth quarter?
Natascha Viljoen: So Anita, yes. Thank you for that question. Into the fourth quarter, we do see slightly lower than the third quarter. And that is as we in the mining, in Quecher Main pit. And then we will be fully focused on the injection leaching through those in the heap leaches that they have. And that's where our main production source would be. Sorry, Anita.
Anita Soni: That's fine. As you indicated that you're going to be at the lower end of the -- if you -- you said it was -- similar levels to 2025 for your managed operations, but at the lower end, I assume that means the lower end of the plus or minus 5%. Within that, are you assuming Cadia is going to drop off in grade next year? Or could you see some positive surprise on that side as well?
Natascha Viljoen: Anita, it's a really good question. We have -- we are planning according to the best estimates from our models. We have seen upside in this year so far. And we will continue to monitor PC1 and PC2 as they come to the end. So the models predict that we will see a decrease going into next year. And that's what we've certainly incorporated into our planning for next year.
Anita Soni: All right. And then last question on cost. So I think this quarter, you indicated CAS of about -- or sorry, in fourth quarter, CAS about $1,260. Is that -- I mean, just as a proxy to next year, is that a good -- if you're using current gold prices and the kind of operational efficiencies that you've already achieved, is that a good run rate on average for next year, assuming obviously higher gold prices and some great declines, as you mentioned? But on average, would that be a reasonable assumption for CAS for next year?
Natascha Viljoen: Anita, our fourth quarter CAS -- G&A is normally cyclical by nature. So I think that's the first assumption that you need to consider. And we do not see that, that is the run rate going into next year. And then from CAS point of view, CAS is impacted by our -- will be mainly impacted by our normal inflation. And then depending on where we are with gold prices, increases in taxes, royalties and worker participation. But it's very much still work in progress as we work through this last quarter and getting ready for the guidance in February.
Anita Soni: All right. And then one last quick one for me. On the Ahafo North, my prior assumption was production of around 300,000 ounces for next year as it ramps fully. Does that mean that Ahafo South would decline by the same amount? Or is 300,000 ounces too aggressive for the first year of operations at Ahafo North?
Natascha Viljoen: I think if we look at the 2 operations, you could assume a similar kind of run rate that we've had for this year between the 2 operations.
Operator: The next question comes from Tanya Jakusconek with Scotiabank.
Tanya Jakusconek: Natascha, congratulations on your new appointment. And Tom, congratulations on the retirement, and hope it's going to be a good one and a great adventure. . 3 questions, if I could. Just Natascha, starting off on Nevada Gold Mines, you said you're waiting for Barrick to provide you with information so you can make your decision. Just trying to understand, is that information the feasibility study that we need to wait on? Or is there something else before that? I think the feasibility study is not until 2029.
Natascha Viljoen: Yes. That's right, Tanya. We're waiting for that feasibility study.
Tanya Jakusconek: Okay. That's helpful. And just on the capital returns to shareholder, you focused a lot on share buyback. Should I be assuming that in February, our $1 per share dividend remains intact and constant?
Natascha Viljoen: Tanya, as you know, and again, within the -- in the framework, in the capital allocation framework, we -- as we have it today, we have a fixed dividend, and it is -- something that the Board review on a quarterly basis.
Tanya Jakusconek: Okay. So it could be possible, I guess, that part of your return to shareholders could include an increase in dividend in addition to your share buyback?
Natascha Viljoen: Yes. Tanya, it's absolutely not something that I think I can give you any indication on, I think. I think the commitment that we have is to remain disciplined within the framework that we're very familiar with.
Tanya Jakusconek: Okay. Maybe on the restructuring then, if I could. Understand that you flatlined a lot. I'm just trying understand, I'm trying to draw an organizational chart. Natascha, how many people do you have reporting or divisions do you have reporting to you at this point?
Natascha Viljoen: So Tanya, we have restructured the organization to have 2 business units, each of them fixed assets. So it's a good spread of -- an equal spread of operations and also a good spread from a jurisdiction point of view. So if I look at a future structure where I have the operations and the 2 managing directors, the group head for projects and the group head for safety, health, environment still reporting to me, it would be a team of 8 people. Sorry, Tanya, just want to correct that. If I add the CFO, it would be 9, yes.
Operator: The next question comes from Fahad Tariq with Jefferies.
Fahad Tariq: Maybe just first, just to clarify on 2026 production guidance. I think I heard 2 different things. I just want to make sure I'm getting it right. . You're saying it's within the same guidance range for the core portfolio as 2025, which would be 5.6 million ounces. But that -- but you're also saying it could be lower. So is the right way to think about it potentially 5% lower than 5.6 million ounces?
Natascha Viljoen: Fahad, I think the first thing is the 5.6 million is obviously the managed and non-managed operations. So non-managed, we are waiting for -- like normal. We will be getting that guidance from Barrick. And the focus for the managed operations would be we normally guide within a range of plus or minus 5%. And we do see that next year's production would be on the lower end of the managed portion of the guidance, which is in the order of 4.2 million ounces.
Fahad Tariq: Okay. That's very clear. And then in all the cost commentary, I didn't hear anything about cost inflation. You mentioned that some of the cost saving initiatives at the unit cost level are being offset by higher royalties, profit sharing, taxes, but that's all gold price driven. Are you seeing any underlying cost inflation on labor, consumables, fuel, anything?
Natascha Viljoen: It will be part of our budget, Fahad. There will be a normal increase in that we normally do for our labor increases. And then we'll, obviously, there would be economic factors from some of our major consumables. I think the biggest challenge that we normally have around inflation would be taxes, royalties and worker participation. And that we've been able to offset a large portion of through the cost savings initiatives.
Operator: The following question comes from Daniel Morgan with Barrenjoey.
Daniel Morgan: Just a follow-up on the 2026 qualitative guidance chart. So to clarify, your managed guidance, 2025 is 4.2 million. You say today that it's expected to be similar but close to the bottom end of the range, which implies 5% lower at -- a roll down of 4.0 million ounces. Is that too conservative a view for the market to take as the midpoint for 2026 guidance?
Natascha Viljoen: I think, Daniel, considering that you very rightly commented that it's indicative from where we are going for the next year. We're in the middle of that work. So it is directional. And just to remind you, the impacts that we are having, firstly, I think probably just to take a step back. At the beginning of the year, we've given a clear indication of the work that we're doing to support the long-term profile through the projects and the projects that's in delivery. And those like Ahafo North that we just delivered, they are all on track for delivery. Then we have other production improvements that we're working on, amongst others, with the laybacks that we are doing at Boddington and Lihir, all of those underway for that long-term guidance and making sure that we're consistent with around that 6 million ounces for next year. However, the areas that we are focusing on that we have seen come down is Yanacocha because we have stopped production at the Quecher Main pit. So we're absolutely now required and reliant on the injection meeting. Peñasquito, where we're seeing that we're taking another layback. And that's just due to the normal sequencing of that pit, we'll see lower gold and slightly higher ounces, GEO ounces. And then Cadia, as we work to bringing PC2-3 online, which is well on track to deliver on time, we see a period for where we see PC1 and PC2 lower grades as they come to an end. So the impact on 2026 is very much driven by those dynamics.
Daniel Morgan: And just on -- I know it is still early, but just on the reserve discussion that's coming up. There's obviously a fair degree of discretion, which you would be debating. I imagine about the gold price is up a lot. What do you do with thinking about reserves, versus -- do you try to maintain higher margins, et cetera? Just wondering how collectively you're thinking about that debate internally right now.
Natascha Viljoen: So from a reserve and resource pricing point of view, that is as you're right, we're in the middle of that debate. Independent of how we think about resource and reserve price, firstly, the focus for us is to always put to prioritize high -- the highest grade ounces through the capacity available to us, first. A very important factor for us as we see the cost of tailings. And that's probably one of our biggest bottlenecks is to ensure that it's economic ounces from a tailings point of view as well. So that is the important factors for us to consider as we make any decisions on resource and reserve impact prices. And again, Daniel, I'll probably just double down on -- as we think about margins. We -- independent of what gold price does, we will continue to focus on our underlying cost and productivity to drive margins in that way. So that is absolutely the focus for us. I think the only additional mention for us around resource and reserves is probably just the divestments that we've done through the year. But you need to -- that you can consider.
Operator: The next question comes from Hugo Nicolaci with Goldman Sachs.
Hugo Nicolaci: Just going from previous comments, congratulations. Tom, on your tenure at the helm and Natascha, as you take the baton. I wanted to ask a more strategic question on the project pipeline. How do you maximize the value of your currently longer-dated projects here? Does the gold price let you accelerate some of these given the reduced balance sheet risk from your position now? Or is there maybe room to monetize additional assets like the stakes in some of these multimillion ounce projects like Galore Creek and Nueva Unión as you go forward if they're not medium-term priorities?
Natascha Viljoen: I think Hugo, you have heard me say this probably 5 times on the call so far. So we're going to remain disciplined in terms of that capital allocation. So we have these projects in study phase in various sizes in the pipeline. They will all, as per the Fourmile comments a little bit earlier, all compete for capital within the profile or within the portfolio. I think it's important to consider that we have many opportunities, both brownfields and greenfields. And the most value-accretive projects will have the benefit of capital allocation. Obviously, within that framework of maintaining a resilient balance sheet and returning capital to shareholders through share buybacks and dividends. So that remains the focus. And as we develop those projects, when the time is right, we will make those decisions.
Hugo Nicolaci: Got it. So to clarify, the projects not competing for capital in, say, the next 5 years is a divestment an option?
Natascha Viljoen: We continue to evaluate our portfolio. That's something we should be doing to continually look at what is the value that we can get from these assets. And if we have a view that we cannot get value out of them, then they will be -- that will be an opportunity for us to reconsider its position in the portfolio.
Hugo Nicolaci: Got it. Fair enough. And then lastly, if I could, Tom, as you take a step back, maybe what excites you the most about the future of Newmont?
Tom Palmer: Thanks, Hugo. Thanks for giving me a chance to use my voice. Hugo, this portfolio we've built is unsurpassed in the gold industry. The long life operations, the project pipeline you were just asking about, that can be developed with discipline over time to be able to make decisions and lay out a portfolio of gold production, supported by copper and a few other metals coming through. Never been seen before in this industry. What I'm going to be looking forward to watching from [ Cottesloe Beach ] is in the years to come, '27, '28, '29, '30, 2035, looking at Newmont sustaining the sorts of production levels and margins that no other gold company can compete with. That's the thing that excites me, Hugo.
Operator: The final question comes from Ralph Profiti with Stifel.
Ralph Profiti: Best wishes and congratulations on the management changeover and transition. Just one question from me, Natascha. When I look at this $450 million in Exploration and Advanced Projects, how much of that reduction is due to rationalization and asset sales, and it's just sort of catch-up adjustments versus the original guidance? And how much was from strategic capital allocation decisions aimed at say, cost savings where exploration was either pulled back or advanced at certain assets?
Natascha Viljoen: Thank you, Ralph. Over the last 18 months and as we had clear line of sight of our go-forward portfolio, we have done a material amount of work on all of our assets to understand the full potential around each of these assets, considering not only where we are with every asset today, but the long-term potential, including any exploration upside in these -- all of these assets. And that, in addition to the advanced projects, basically made up the baseline for how we reconsidered the work that we need to do going forward for Newmont. Making sure that, that work is targeted towards delivering the value out of each and every one of these assets. That is what then and also underpinned our organizational structure and the decentralized design. I know that's not your question, but I think it's an important context because in that same framework within that same context, we are also targeting our exploration dollars where we are clear on where the best next exploration work is and where we can expand our understanding and future of these assets. So when we see a reduction, it wasn't a hiccup. It was a deliberate review of doing the right work for the assets and targeting our dollars towards that. So it's been a very deliberate piece of work.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Tom Palmer for closing remarks.
Tom Palmer: Thank you, operator. I was expecting that to go to Natascha. Thank you, everyone, for your time, and please enjoy your evening or the rest of your day. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.